Operator: Good morning, ladies and gentlemen, and welcome to the Teleflex Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded and will be available on the company's website for replay shortly. And now I will turn the call over to Mr. Lawrence Keusch, Vice President of Investor Relations and Strategy Development.
Lawrence Keusch: Good morning, everyone, and welcome to the Teleflex Inc. Third Quarter 2025 Earnings Conference Call. The press release and slides to accompany this call are available on our website at teleflex.com. As a reminder, a replay will be available on our website. Those wishing to access the replay can refer to our press release from this morning for details. Participating on today's call are Liam Kelly, Chairman, President and Chief Executive Officer; and John Deren, Executive Vice President and Chief Financial Officer. Liam and John will provide prepared remarks, and then we will open the call to Q&A. Before we begin, I'd like to remind you that some of the matters discussed in the conference call will contain forward-looking statements regarding future events as outlined in the slides posted to the Investor Relations section of the Teleflex website. We wish to caution you that such statements are, in fact, forward-looking in nature and are subject to risks and uncertainties, and actual events or results may differ materially. The factors that could cause actual results or events to differ materially include, but are not limited to, factors referenced in our press release today as well as our filings with the SEC, including our Form 10-K, which can be accessed on our website. Now I'll turn the call over to Liam for his remarks.
Liam Kelly: Thank you, Larry, and good morning, everyone. I would like to begin today with comments on our corporate strategy. In order to best position the company for enhanced value creation, we have continued to take decisive action to unlock value within our business. This includes the previously announced separation of Teleflex into 2 independent companies, RemainCo and NewCo. In line with our commitment to maximizing value for our shareholders, our Board and management have been continuing to actively advance the process for a potential sale of NewCo, which is now our priority. There continues to be healthy interest in NewCo, and we are pleased with the momentum and stage in the process. Once the separation process is complete, each business will be best positioned for the future with more focused strategic direction, simplified operating models, streamlined manufacturing footprint and individually tailored capital allocation strategies aligned with their respective growth philosophy and objectives. As a reminder, the creation of RemainCo will create an optimized portfolio focused on highly complementary business units, Vascular Access, Interventional and Surgical. NewCo will be able to identify, invest in and capitalize on opportunities that are unique to urology, acute care, including intra-aortic balloon pumps and catheters and OEM end markets. Importantly, our guiding principles continue to focus on maximizing shareholder value through this process. Should a sale be consummated, we intend to utilize proceeds to balance paydown of debt and return capital to our shareholders. Before I turn to our third quarter results, I would like to provide an update regarding changes in the Italian payback measure. As a reminder, the major states that if Italian public hospitals spend more than the national budget allows on medical devices, manufacturers that generate revenue in the country must pay back part of the excess cost to the government. In June 2025, the Italian government proposed a significant discount under this measure, which became effective in August. The amended law reduced the amount owed by affected companies, including Teleflex, for the years 2015 through 2018. These legislative changes and the resulting adjustment to our reserve calculation beyond 2018 resulted in a $23.7 million decrease in our reserve and a corresponding increase to EMEA revenue for the 3 and 9 months ended September 28, 2025, of which $20.1 million pertained to prior periods. Since the amount related to prior years does not represent normal adjustments to revenue and is nonrecurring in nature, we have excluded a $20.1 million increase in revenue related to the prior years from adjusted third quarter 2025 revenue to facilitate an evaluation of our current operating performance and a comparison to our past operating performance. Now moving to the agenda for the remainder of this morning's call. We will discuss the third quarter results, review commercial highlights and conclude with our updated financial guidance for 2025. Overall, we are pleased with our execution in the quarter, with third quarter revenues of $913 million, an increase of 19.4% year-over-year on a GAAP basis. When excluding the prior year impact of the Italian payback measure, adjusted revenues for the third quarter were $892.9 million, up 16.8% year-over-year on a reported basis and up 15.3% on an adjusted constant currency basis. Constant currency revenue growth improved sequentially in the third quarter, excluding the impact of the acquired Vascular Interventions business as we work to drive operational excellence across our business. Excluding the impact of acquired Vascular Intervention revenues, constant currency growth was 2.3% year-over-year. Third quarter adjusted earnings per share were $3.67, a 5.2% increase year-over-year. Now let's turn to a deeper dive into our third quarter revenue performance. I will begin with a review of our geographic segment revenues for the third quarter. All growth rates that I refer to are on a year-over-year adjusted constant currency basis, unless otherwise noted, and include the impact of the acquired Vascular Intervention business. Americas revenues were $555.9 million, a 7.5% increase year-over-year, with the acquired Vascular Intervention business representing the largest contributor to growth. Excluding the Vascular Intervention business, growth in the quarter was driven by strength in our Surgical, Interventional and Vascular businesses, partially offset by OEM declines and continued challenges in UroLift. EMEA revenues were $214.1 million, a 34.4% increase year-over-year. During the quarter, growth was driven by the Vascular Intervention acquisition business. Excluding those acquisition revenues, we saw strength in our Surgical, Vascular and Interventional businesses, which was partially offset by our anesthesia business, including the decreased volume of military orders in comparison to the prior year. Now turning to Asia. Revenues were $122.9 million, a 25.3% increase year-over-year, driven primarily by the Vascular Intervention acquisition. In the quarter, we recognized an approximately $9 million stocking order as part of our intra-aortic balloon pump and catheter growth strategy in China. And as expected, this was partially offset by volume-based procurement. We anticipate inventory exceeding this $9 million stocking order will be sold through by the end of 2025 as dynamics associated with tariffs stabilize, including timing of orders and tender activity. Now let's move to a discussion of our third quarter revenues by global product category. Commentary on global product category growth for the third quarter will also be on a year-over-year adjusted constant currency basis, unless otherwise noted. Starting with Vascular Access. Revenue increased 4.3% year-over-year to $191 million, driven by our broad Vascular Access portfolio, including peripheral access, EZ-IO and central access products. Moving to Interventional. Revenue was $266.4 million, an increase of 76.4%. Excluding the impact of the Vascular Intervention acquisition, Interventional revenues increased 9% year-over-year. The strong performance for the quarter was led by growth drivers such as intra-aortic balloon pump catheters, OnControl and complex catheters. The acquired Vascular Intervention business revenue was modestly ahead of our $99 million expectation for the third quarter, and increased 6.9% year-over-year on a reported basis. We continue to feel confident in our Vascular Intervention guidance of $204 million in revenue for the second half of 2025. Intra-aortic balloon pump revenue growth declined year-over-year in the third quarter due to lower-than-expected order rates, predominantly in the United States. Specifically, we are seeing a slowing in conversions for pumps in the annual replacement cycle as well as less activity from hospital systems in replacing entire fleets of pumps. Although we had anticipated this dynamic in 2026, it has occurred sooner than expected. As a result, we have lowered our 2025 global balloon pump revenue expectations by $30 million at the midpoint of our constant currency guidance, with the vast majority of the reduction in the United States. Despite the revised outlook for pump demand in the second half of 2025, we have taken considerable market share and advanced our overall market position beginning in the fourth quarter of 2024. Turning to Anesthesia. Revenue decreased 1.4% to $101.4 million. Decreased military orders and softness in tracheostomy tubes were partially offset by growth in ET tubes and LMA single-use masks, along with a double-digit increase in hemostatic products in the United States. In our Surgical business, revenue was $122.9 million, an increase of 8.8%. Underlying trends in our core surgical franchise continued to be solid, with growth led by chest drainage and instrumentation in the quarter, partially offset by the expected impact of volume-based procurement in China. Our North America and EMEA surgical businesses, which are not impacted by volume-based procurement, each grew double digits in the quarter. For Interventional Urology, revenue was $71.8 million, representing a decrease of 14.1%. While we saw strong double-digit growth for Barrigel, we continue to experience meaningful pressure on UroLift. OEM revenue decreased 3.9% to $80.4 million year-over-year, driven by customer inventory management. However, and as expected, we saw a sequential revenue increase compared to the previous quarter. Third quarter other revenue increased 3.1% to $59 million. Growth in the quarter was broad-based across the portfolio. That completes my comments on the third quarter revenue performance. Turning now to clinical and commercial updates. BIOMAG-II, which is our European randomized controlled trial for the Freesolve resorbable magnesium scaffold, has reached the midpoint ahead of schedule with over 1,000 patients now enrolled. BIOMAG-II is a prospective multicenter randomized controlled trial designed to evaluate the safety and clinical performance of Freesolve compared to a contemporary drug-eluting stent. The primary endpoint is target lesion failure rate at 12 months. We continue to expect the data readout for the BIOMAG-II study in 2027. The integration activities for the acquired Vascular Intervention business are well underway and remain on track. A planned restructuring, as disclosed in today's press release, is aimed at reducing costs and increasing operational efficiency, and will include workforce reductions and the relocation of certain manufacturing operations to existing lower-cost locations. We expect the restructuring activities to be substantially completed by the end of 2028. In our Interventional Urology business, we launched Barrigel in Japan during the third quarter following regulatory approval, insurance coverage and appropriate use criteria issuance. The commercialization in Japan marks a significant milestone in the global expansion of Barrigel. In 2022, prostate cancer was the most common cancer among men, with over 104,000 new cases. The launch of Barrigel in Japan aims to provide men with a safe, more precise treatment option, enhancing the quality of life for prostate cancer patients undergoing radiation therapy. Barrigel offers enhanced precision and sculptability, allowing for real-time ultrasound guided placement tailored to individual patients. U.S. clinical data supports its efficacy, showing that 98% of patients achieved a significant reduction in rectal radiation exposure. The Spacer has also been shown to significantly reduce both acute and long-term Grade 1 plus GI toxicity at 3 and 6 months compared to control. First cases in Japan were performed in early August, and we are actively engaging Japanese clinicians through training programs to ensure effective adoption of the technology. That completes my prepared remarks. Now I would like to turn the call over to John for a more detailed review of our third quarter financial results. John?
John Deren: Thanks, Liam, and good morning. Given Liam's discussion of the company's revenue performance, I'll begin with margins. For the quarter, adjusted gross margin was 57.3%. The 350 basis point decrease year-over-year was primarily due to the negative impact of tariffs and the negative impact of foreign exchange rates and to a lesser extent, product mix and increased logistics and distribution costs. Adjusted operating margin was 23.3% in the third quarter. The 400 basis point decrease reflects year-over-year gross margin pressure, higher operating expenses associated with the acquisition of the Vascular Intervention business, partially offset by cost controls across the remainder of our business, and negative impact of foreign exchange rates. Adjusted net interest expense totaled $29.7 million in the third quarter as compared to $18.8 million in the prior year period. The year-over-year increase is primarily due to the borrowings used to finance the Vascular Intervention acquisition. Our adjusted tax rate for the third quarter of 2025 was 9.1% compared to 13.6% in the prior year period. The year-over-year decrease is primarily due to the beneficial tax provisions included in the recently passed One Big Beautiful Bill Act, including the ability to deduct U.S.-based R&D expenses and other nonrecurring discrete impacts in the quarter. At the bottom line, third quarter adjusted earnings per share was $3.67. The 5.2% increase year-over-year is primarily due to higher revenue and adjusted operating income, including the impact of the Vascular Intervention acquisition, a lower tax rate and share count, partially offset by the negative impact of interest expense and foreign exchange. Now turning to select balance sheet and cash flow highlights. Cash flow from operations for the 9 months was $189 million compared to $435.6 million in the comparable prior year period. The $246.6 million decrease was primarily due to unfavorable changes in working capital as well as the prior period inflow from proceeds related to the pension plan termination. The unfavorable changes in working capital were primarily related to the Vascular Intervention acquisition, payments for tariffs, payments related to the proposed separation, cash tax payments for the final transition payment from the TJC Act of 2017 and foreign tax payments related to restructurings from prior periods. Moving to the balance sheet. At the end of the third quarter, our cash and cash equivalents and restricted cash equivalents balance was $381.3 million as compared to $327.7 million as of year-end 2024. Net leverage at the quarter end was approximately 2.4x. Turning to our updated financial guidance for 2025. We now expect total adjusted constant currency growth for 2025 to be in the range of 6.9% to 7.4%, which reflects the performance in the first 3 quarters of the year and our updated view for the fourth quarter of 2025. The reduction in the constant currency revenue outlook is primarily driven by a reduction in intra-aortic balloon pump revenue assumptions, primarily in the U.S., in the second half of 2025 due to our expectation for lower-than-anticipated order rates continuing through the fourth quarter. We now expect a positive impact from foreign exchange of $32 million, representing an approximately 100 basis point tailwind to GAAP revenue growth in 2025. This compares to our prior guidance of approximately $26 million or an 85 basis point tailwind for 2025. The updated foreign exchange rate guidance assumes approximately a $1.16 average euro exchange rate for the fourth quarter of 2025. For 2025, we now expect adjusted revenue growth to be in the range of 8% to 8.5% versus our prior guidance of 8.5% to 9.5%. This implies a revenue dollar range of $3.305 billion to $3.320 billion. This adjusted revenue range anchors our 2025 guidance and includes the acquired Vascular Intervention business, the third quarter performance, updated expectations for the fourth quarter and foreign exchange rates, and excludes the positive $20.1 million revenue adjustment related to the Italian payback measure for prior years. On a GAAP basis, revenue growth is expected to be 9.1% to 9.6% when including the $20.1 million revenue benefit of the Italian payback measure for prior years. Additionally, for modeling purposes, you should consider the following: we expect 2025 adjusted gross margin to be approximately 59%. Regarding the impact of tariffs, I'm pleased to report that we've made good progress in our tariff mitigation strategies during the third quarter. Due to rate assumption changes and mitigation activities, we now estimate an impact of $25 million to $26 million in 2025 or approximately $0.50 per share, which is an improvement relative to our previous estimate of $29 million in 2025 or $0.55 per share. We expect adjusted operating margin to be approximately 24.5%. Moving to items below the line. Net interest expense is now expected to be $93 million for 2025. We have refined our tax assumption for 2025 and now expect our tax rate to be approximately 12.5% versus our previous expectation for a 13.25% rate. Turning to adjusted earnings per share. We are narrowing the range for 2025 to $14 to $14.20 from a range of $13.90 to $14.30. For the fourth quarter, adjusted constant currency growth is expected to be in the range of 14% to 15.8%, excluding a foreign exchange benefit of approximately $21 million. That concludes my prepared remarks, and I would now like to turn the call back over to Liam for closing commentary.
Liam Kelly: Thanks, John. In closing, I will highlight our 3 key takeaways from the third quarter of 2025. First, we continued to make significant progress in executing our strategy. Third quarter revenue was in the range of guidance, while operating margin and earnings per share exceeded our expectations. For RemainCo, we are pleased with the performance for the first 9 months of 2025, and it is encouraging for our longer-term growth outlook. Second, the Vascular Intervention business performed well in the quarter, achieving year-over-year reported revenue growth of 6.9%, which modestly exceeded our guidance. We are excited to provide a more detailed overview of the Vascular Intervention business in a virtual investor meeting, which is scheduled for November 14 at 8:00 a.m. Eastern Time. Registration details can be found in our press release issued on October 16. Last, we remain heavily focused on controlling what we can across our business as we continue to advance our strategic objectives. Our focus is on enhancing operational execution, accelerating growth and strengthening our diverse product portfolio to better serve our customers. We are pleased with the progress on the separation of Teleflex, including prioritization of a potential sale of NewCo as interest remains healthy. Our guiding principles remain focused on maximizing shareholder value through this process. That concludes my prepared remarks. Now I would like to turn the call back to the operator for Q&A.
Operator: [Operator Instructions] And your first question comes from the line of Mike Matson with Needham.
Michael Matson: Yes. I guess I'll start with the China -- the comments on the balloon pumps in China. I didn't completely understand that. Can you kind of elaborate on that a little bit more?
Liam Kelly: Yes, absolutely, Mike. So what we saw in the quarter, we saw a stocking order of about $9 million that came from some of our distributor customers. There are really 2 reasons for this. The first is, as we're executing on our intra-aortic balloon growth strategy to address more of the geographic market. Today, Mike, we cover about 30% of the market. And this expansion has been partly driven by the government changes, which recommends the use of intra-aortic balloon pumps and catheters for complex PCI procedures. The second reason, Mike, there's been a little bit of noise in the market with tariffs, and this has driven customers' behavior changes that they're purchasing product ahead of tariffs as tenders are delayed later in the year. We expect this situation to normalize in Q4 as we sell through this inventory and even some additional out through the channel as we get these tenders in. So it's a timing thing in Q3, we just wanted to call it out for clarity.
Michael Matson: Okay. Got it. And then just we saw some data at TCT on drug-coated balloons. And I know that you've got the BIOMAG trial underway with your resorbable stent, but that data won't be out until '27. I don't know when it would potentially be approved in the U.S. But is there any risk here that you lose some share in the kind of legacy stent and balloon business to these newer drug-coated balloons in the U.S. and Europe, either from Boston Scientific or Cordis? And maybe can you tell us how much of the -- your -- the business you acquired, the Vascular Intervention business is PCI focused as opposed to peripheral?
Liam Kelly: Yes. Thanks for the question, Mike. We'll cover that probably more detail next week at our investor meeting. And I will say that in relation to the performance of our drug-coated stents in the quarter, it was in line with expectations. We're not seeing any impact. And I would also ask you to bear in mind that drug-coated balloons have been on the market in Europe for a lot longer than they've been in the U.S. with the technologies you're speaking about. And you see -- still see, in conjunction with those technologies, you still see drug-coated stents being used alongside them. And obviously, with BIOTRONIK growing at the rate of almost 7%, that's very encouraging for the business that we just acquired, Mike.
Operator: And your next question comes from the line of Matt Taylor with Jefferies.
Matthew Taylor: Sorry about that. I guess I was hoping you could comment a little bit further. The press release seemed to suggest that now the sale is the primary focus for NewCo. Is the spin off the table? And I guess, can you talk about why you're so geared towards a sale? And do you think that you might be able to sell this at an accretive valuation?
Liam Kelly: Yes. Thanks, Matt. Well, Matt, I think as I said in my prepared remarks, in line with our commitment to maximize value for our shareholders, our Board and management have been taking decisive action and have been actively advancing the process for a potential sale of NewCo. As I sit here today, Matt, I am pleased with the progress that we have made and the stage that we are at in the separation. We continue to be impressed by the quality and quantity of buyer interest. And to your question on valuation, in our view, it speaks to the quality of the assets within NewCo. As we discussed in our second quarter earnings call, we had preliminary meetings with many potential buyers that had expressed interest in acquiring NewCo. Since then, we have been actively advancing the process for a potential sale of NewCo. Momentum has continued and we have advanced the process into late stages of diligence and are confident in our ability to maximize shareholder value as we prioritize the sale of NewCo. In the second part of your question, is the spin off the table? I think, again, I'll reiterate, we're pleased with the progress we have made and the stage we're at. We still view a spin as a shareholder value creation strategy opportunity, but the level of interest and momentum we have for the sale of NewCo is now our priority and we're executing against that. And just on RemainCo, Matt, if I can just elaborate a little bit on it and its performance for the first 9 months. The constant currency revenue growth year-to-date through the first 9 months was approximately 5% year-over-year, excluding the acquired Vascular Interventions business and the negative impact of volume-based procurement, which we know is transitory. This is encouraging and is squarely in our mid-single-digit growth profile.
Operator: And your next question comes from the line of Jayson Bedford with Raymond James.
Jayson Bedford: Maybe for John, John, there was a lot of growth rates thrown out there, and I'm not as -- I'm a lot slower than I used to be. What is the dollar amount of the fourth quarter revenue guidance? And I'll ask my second question, while maybe, John, you're looking that up. Just on the spin/sale, the business has changed a bit since you last provided details on RemainCo and NewCo in terms of margins. Is there any way you can kind of update us maybe on the margin range and tariff exposure of the 2 businesses?
Liam Kelly: Well, the growth -- so the biggest impact in quarter 3. I mean, first of all, let me say, I was pleased with our performance in Q3. We executed well within the quarter and we delivered on our commitments despite the weakness in intra-aortic balloon pumps, which was offset by strength in Surgical. And obviously, the newly acquired BIOTRONIK VI business performed very, very well within the quarter. With regard to the margins on RemainCo and NewCo, there hasn't been significant change to the margins within RemainCo or NewCo outside of the impact of tariffs. And as we look at the tariff impact, I think data has been disclosed to the potential buyers of NewCo. So they are fully aware of that. The pump impact has also been disclosed to the buyers that are fully aware of that. And we gave a good bit of detail in our prepared remarks on the tariffs with the reduction in what we expect for this year. So it's a somewhat improving environment and more stable for tariffs, at least, I would say. And I will ask John to answer your first question.
John Deren: Yes, so for the implied Q4 is [ $930 million to $945.6 million ] in dollars. So that's a 14% to 15.8% constant currency, and we have about a $21 million FX tailwind there.
Operator: And your next question comes from the line of Richard Newitter from Truist Securities.
Ravi Misra: This is Ravi here for Rich. Liam, just kind of maybe one for me upfront and then a follow-up. Just kind of on the vascular business, your restructuring, you have kind of a pretty significant new product trial underway. I'm just curious, and I don't know if I'm stealing any thunder from the Analyst Day, but just curious, do you need any other kind of maybe flagship products in this division to really kind of accelerate growth behind that $1 billion dollar revenue base that you have? Just any thoughts there would be appreciated. And one follow-up.
Liam Kelly: Yes. Thanks, Ravi. Just for clarity, that's our interventional business that you're talking about. I'll start by saying it's only 1 quarter, but it's a very encouraging start for BIOTRONIK growing almost 7% right out of the gate. That was ahead of what we had anticipated. So we feel good about that. We have -- and if you look at the underlying growth in the quarter of the interventional business, again, as we said in our prepared remarks, ex the BIOTRONIK VI acquisition, it grew at around 9%. So again, it's performing very, very well. We have a suite of new products coming into the portfolio in that business to continue to accelerate the growth. And as part of RemainCo, the interventional business will be a strong driver, and we anticipate it being in the upper end of those mid-single digits that we spoke about. So I don't think we need any additional flagship product in order to achieve our goals. We have a number of products that we will be releasing into the portfolio. And we will be driving investment into the business to expand and to grow that, and we'll be investing in R&D. And M&A will be something that will be a future opportunity for this business. I think it's important for Teleflex that we execute as we go through 2026 and prove out our hypothesis through 2026, deliver that mid-single digits and bring confidence back into the stock.
Ravi Misra: Great. And then just one on the tightening write-down. Commentary in the last couple of quarters was acknowledging challenges in bariatrics, but that was a product that was doing pretty well. It seemed to us, at least the stapling system. So how do we think about maybe the growth rate in that business on a go-forward basis for the segment?
Liam Kelly: Yes, Ravi, I'll give you the growth rate for the quarter. It was in the upper single digits. So the product is still growing, and we anticipate it to grow into the future. I'll let John comment on the restructuring. But at the end of the day, the base is lower even though it is growing, and that has put a little bit of pressure and has caused the write-down. But John, do you want to add anything?
John Deren: Yes. I mean I won't get into the GAAP technical because this is around intangible assets, which is a little different than a goodwill impairment. But it's that near-term view obviously affects the longer-term projections. And while GLP-1s still put a lot of pressure on this product, as Liam noted, it continues to grow. It's just not growing at the rate that was in our original plan and when we did the acquisition. So unfortunately, it did require a write-down in these intangibles.
Operator: And your next question comes from the line of Matthew O'Brien with Piper Sandler.
Samantha Munoz: This is Samantha on for Matt this morning. I guess if you could provide any more details on the potential sale of NewCo. It kind of makes it sound like maybe things are advanced with one potential buyer, maybe a few and also whether this is still being considered sold as NewCo entirely or kind of in parts?
Liam Kelly: So I'm not going to get into the details of the number of buyers or anything like that. I will tell you that we are focused on selling the entirety of NewCo. We have made significant progress. We have -- trust me, we have not been sitting on our hands. We've been working tirelessly towards this end goal. We have -- and we are in the later stages of due diligence. I will tell you, with a number of buyers we're in the later stages of due diligence as we start -- as we progress this through. I did outline on the second quarter earnings call that we had done preliminary meetings. Since then, we have done a number of meetings, a lot of due diligence, dug deep into the business and had ongoing conversations with multiple buyers. We feel that -- and we've done an incredible amount of analysis on this, both externally and internally that our guiding principle of maximizing shareholder value will be best realized at this stage through an exit through a sale. We think that would be the best outcome for our shareholders, and that's why we prioritized the sale over the spin at this time.
Samantha Munoz: Great. And if I could have one more just on the intra-aortic balloon pumps. I know you talked about how this was expected next year, but was kind of like brought forward. Can you talk a little bit more about the longer-term outlook for these products? And then specifically, how long the catheters that go with them could see that -- could continue to be a growth driver?
Liam Kelly: Yes, Samantha, that's an excellent question. I mean I think if we just take a step back and we refresh everyone's memory, this is a $250 million annual market split between pumps and catheters. We began with approximately 1/3 of the market share, less than 1/3 in the United States and more than 1/3 overseas in Asia. We had the -- we were taking significant share before the competitor issue, with the business growing organically strong double digits. Customers began replacing their pumps due to the FDA notice. And we also saw pull forward in conversions, which expanded the market during this time. We executed that strategy well. Even with the bolus that we picked up in Q4 of 2024, we delivered $70 million in Q4, which was significantly up from '23. And then we -- this year, it should be in the United States, these numbers are, it should be around $80 million this year in the United States. And we drove really strong growth in the first half of 2025, and we expected that growth rate to continue into the back half, but conversions have slowed earlier. We thought it would happen in 2026. We were expecting this to be a little bit of an overhang in 2026. And our change in assumption is just as a result of the conversions happening earlier than we had anticipated. Your question on catheter, we would anticipate catheter growth to be with us for the last -- for a number of years. And in Q3, I mean, the catheters grew strong double digits in Q3. And obviously, we've increased our market share in the United States fairly significantly during that time.
Operator: And next question comes from the line of Patrick Wood with Morgan Stanley.
Patrick Wood: Slightly random one at the start. The BIOTRONIK Vascular business, obviously, nice to see that coming in solidly. How has like employee retention been there? How have they been integrating? Like have you managed to keep them on board? Like basically, the kind of more squishy qualitative stuff of how that's going?
Liam Kelly: Yes. Thanks, Patrick. Look, the integration is going very well. I think that the BIOTRONIK VI employees, being part of Teleflex, they see it as a much bigger interventional portfolio now. I mean, we're heading for $1 billion of an interventional business for RemainCo with an excellent growth outlook. So retention has been rock solid. We haven't lost any of the senior leadership as we've gone through this, and I'm very encouraged by that. The team is robust, especially from a technical and R&D capability. I've been with them a number of times. And every time I meet with them, I'm always impressed by their capabilities in R&D and the innovation that this team can drive.
Patrick Wood: Super helpful. And then just quickly, obviously, we're still seeing very strong procedure volumes, and we're also seeing a whole bunch of incremental procedures moving into the cath lab that maybe weren't being done there before. You guys have a very broad-based view of the system as a whole. So how are you feeling about volumes, both in and out of the cath lab and the health of the market from a procedural standpoint as well?
Liam Kelly: Yes, it's a great question. I mean, if I look at what I saw with BIOTRONIK growing 7%. If I look at our interventional business outside of the BIOTRONIK VI growing at 9%, it's clear that the cath lab is a very healthy place to be right now, driving good solid upper single-digit growth in our current portfolio. Procedures are stable to improving in that area. There's lots of technology coming into that area. And we ourselves like the optionality of the technology we're going to bring with Freesolve into the future and to partake in that leave nothing behind. And we're very excited to explain how the BIOMAG study is going to the investment community in a couple of weeks. So yes, we see this as very stable, Patrick, would be, however -- and good solid growth coming out of the cath lab area.
Operator: [Operator Instructions] And your next question comes from the line of Travis Steed with Bank of America Securities.
Unknown Analyst: This is [indiscernible] on for Travis. On BIOTRONIK, you've spoken about expanding your reach in EMEA with them contain their exposure. Maybe the first part of the question, are you seeing early wins there with the expanded bag? And then on the realignment and head count reductions in the sales force, is that going to be more geographically focused in the U.S. or kind of broadly across the world?
Liam Kelly: Yes. So it's too early, [ Hayden ], to give you a clear view on whether we're seeing synergies yet within the sales force. We've seen some anecdotes, but I don't want to call it a trend yet, where some of our complex catheters and some of their stents and balloons have been brought in and combined with some users. We had a lot of excitement in TCT with regard to the overall portfolio. With regards to the integration and the restructuring, a lot of that is in the, I would call it, in the back office areas where the synergies are coming from. And the integration, obviously, some of it will be in the commercial organization for sure. But I don't want to get into any more details on that on the call.
Operator: And I would now like to turn the call back over to Mr. Lawrence Keusch.
Lawrence Keusch: Thank you, Kayla, and thank you to everyone that joined us on the call today. This concludes the Teleflex Inc. Third Quarter 2025 Earnings Conference Call.
Operator: You may now disconnect your lines.